Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2017 ExlService Holdings, Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. [Operator Instructions] As a reminder, this call is being recorded. I would now like to introduce your host for today's conference, Mr. Steve Barlow. Sir, you may begin.
Steven Barlow: Thank you, Skyler. Hello, and thanks to everyone for joining EXL's second quarter 2017 financial results conference call. I'm Steve Barlow, EXL's Vice President of Investor Relations. With us here today in New York is, Rohit Kapoor, our Vice Chairman and Chief Executive Officer; and Vishal Chhibbar, our Chief Financial Officer. We hope that you've had an opportunity to review our quarterly press release we issued this morning. We've also updated our Investor Fact Sheet in the Investor Relations section of EXL's website. As you know, some of the matters we'll discuss in this call are forward-looking. Please keep in mind that these forward-looking statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Such risks and uncertainties include, but are not limited to, general economic conditions, those factors set forth in today's press release, discussed in the company's periodic reports and other documents filed with the Securities and Exchange Commission from time to time. EXL assumes no obligation to update the information presented on this conference call. During our call today, we may reference certain non-GAAP financial measures, which we believe provide useful information for investors. Reconciliation of these measures to GAAP can be found in our press release, as well as the Investor Fact Sheet. Now I'll turn the call over to Rohit Kapoor, EXL's Chief Executive Officer. Rohit?
Rohit Kapoor: Thank you, Steve. Good morning, everyone, and welcome to our second quarter 2017 earnings call. Our performance in the second quarter exceeded our expectations. We delivered $189.1 million in revenues up 10.9% year-over-year, both on a reported and constant currency basis. Adjusted EPS increased 27.3% year-over-year to $0.70 per share. We won 16 new clients in the quarter, six in operations management and 10 in analytics for a total of 24 client wins in the first half of 2017. In addition, we received several recognitions from industry analysts and advisors for our insurance, healthcare, finance and accounting and analytics businesses. Overall, I'm pleased that our business model continues to deliver double-digit top line and bottom line growth. Digital transformation continues to be a top priority for our clients. There is an urgent need by companies to fundamentally transform their business models to be relevant in this disruptive world. We aim to be the strategic digital transformation partner for our clients to help them navigate this journey. In an effort to become more strategically relevant to our clients we are increasingly focused on helping our clients grow their revenues and improve their competitive position. This increase focused on revenue enhancement for our clients expands our addressable market opportunity. There are several ways in which we are helping our clients grow their revenues. First, using our customer acquisition platform in our analytics business we help our clients target the right type of customers to increase the lifetime value of a client and at the same time increase the number of new customer additions. We also help them reduce the churn amongst their end customers. Second, leveraging our digital customer acquisition engine we significantly improve the end customer experience in the purchase journey. By leveraging the digital channel and making the customer experience more convenient and seamless, we help our clients to identify and win new customers. Third, combining our analytics capability with inside sales operations we significantly reduce the cost of customer acquisition particularly in the small and midsized business space. We enable our clients to expand their targeted customer footprint while optimizing and increasing revenues for them in a revenue-based gain sharing model. As an example, for a large trucking company we targeted their long tail of customers. We used analytics and our inside sales capability to target and identify the right customers and have a gain sharing relationship be paid on actual sales. We are also proactively bringing on an integrated capability to digitize our customers' operations. This includes leveraging our domain expertise, advanced automation and robotics, analytics and our proprietary Business EXLerator Framework. We work with our customers to understand the business goals that will drive their performance in the digital world from both a cost efficiency standpoint and a customer experience perspective. We use design thinking to integrate the front, middle and back office processes to deliver those outcomes. An example of this relates to one of our largest clients and the work we did for them as they embark on their digital transformation journey. As a strategic digital transformation partner we aligned on specific customer outcomes that are delivered in back office operations and shows chose interventions that will drive a better end customer experience. We partnered with them to drive an accelerated advanced automation and robotics program to ensure delivery of smart and intelligent operations. Our ability to beat out several competitors in this strategically important initiative is a strong testament to our transformation approach of being proactive, bringing integrated capabilities and applying our domain expertise. We also believe that talent will be one of the key differentiators to succeed in the new digital transformation world. We continue to expand and develop our global talent base. Are ability to attract talent has increased. We are the right firm for someone who wants to drive digital transformation. We have a successful track record of revenue growth and an entrepreneurial culture that encourages innovation. To give you some perspective of how our talent base has evolved, let me share with you a few examples. In the last year we have strengthened our senior leadership with new hires across our key verticals geographies each bringing more than 20 plus years of experience. For example, we've recently hired the Head of Insurance and a Head of Geography in the UK. We hired several experienced sales and business development leaders across our industry verticals of banking and financial services and healthcare. We've also brought onboard domain experts in our consulting practice who focus on solving strategic customer problems. We continue to scale up our analytics talent base by building a strong team of data scientists and data analysts. We are adding more talent in advanced analytics capabilities such as machine learning, cognitive, and artificial intelligence. Our advanced automation and robotics team is ramping up very, very rapidly. We have also grown our global products and platform development teams that focus on upgrading our existing technology platforms and developing new products. At the same time we have significantly ramped up our investment in development of our existing talent base. Our Analytics Academy, our collaborations with institutions such as INSEAD and the creating of targeted development programs for digitally driven operation leaders are part of this increased investment. We believe talent will be a key contributor for our success and our investments in building a diverse and global talent base with digital expertise will serve us well. Now let me provide you with more detail on our performance in operations management and analytics businesses in the second quarter. In our operations management business, we continued our strong momentum and achieved growth of 5.1% year-over-year to generate revenues of $137.5 million in the quarter. Revenue growth was broad based across all major operating segments. I would like to highlight the broad shifts which are happening in operations management. First, we are seeing companies look at strategic partners such as EXL to first transform their operations before they decide to shift work to global locations. This means we need to make changes to their operating models and processes prior to migrating operations to EXL. We leverage our next generation transformation playbook and embed analytics to help our customers understand the potential of all the digital interventions and their impact on business outcomes. Second, we are seeing many more first time outsourcers engage with us and they realize the value being created by a strategic partner like EXL. Today, because of our transformational skill sets, playbooks and our ability to demonstrate how we deliver tangible business outcomes we are seeing greater interest in EXL capabilities amongst our prospects. The third shift is that clients are looking at us as providers of end-to-end services and owners of end-to-end processes. That is a big advantage for us. We believe if we handle end-to-end processes for our clients we can provide greater productivity benefits than if we were handling only a task or subset of the overall process. Now let me move on to our analytics business. Analytics had another strong quarter with revenue growth of 30.2% year-over-year and we won 10 new clients in the quarter. We added clients across banking and financial services, insurance and healthcare industry verticals. We signed large expansions and multiyear contract extensions with some of our largest existing clients. We have an end-to-end offering across data management, data driven products, advanced analytics, insights and visualization. This offering is resonating in the marketplace and contributing to our growth. I would like to talk to you about the key themes emerging in the first half of the year in our analytics business. Our capability acquired in data management through Datasource is emerging as a key differentiator for us. There is an urgent need in all organizations to improve consistency in completeness, accuracy and availability of information across the company. We continue to see good progress in expanding to newer markets such as Australia, Latin America and South Africa where our clients have operations with the same need for advanced analytics. Our clients are increasingly leveraging our global talent base, proprietary methodology and analytics products to accelerate their product innovation. We remain excited about our market position in analytics for the rest of the year and for subsequent years. Now turning to our pipeline. Our pipeline is strong and has been building all year. As we talked about in our Investor Day we have multiple touch points in the C-Suite of our existing clients and prospects. We have a strong pipeline across our industry and capability businesses with many large deals in advanced stages of discussion. The pipeline is healthy across all markets, that is U.S., UK, Europe, and Australia with interests in all our global delivery centers. In addition, the multiple strategic clients that we won over the last 12 to 18 months continue to ramp up as per our expectations and we remain confident about their potential to be our engines of growth over the long-term. We recently inaugurated our digital experience center in New Jersey. We've been able to attract many of our senior executive customers and it has enabled us to engage in broad strategic conversations. We have a steady stream of clients and prospects that have visited the center and are now working collaboratively with us on new initiatives for their digital transformation journey. To conclude, the first half of 2017 was strong and we have raised our revenue and EPS guidance. The relevance of our services continues to increase and our pipeline remained strong with multiple large deals. We are focused on executing on our strategic priorities for 2018 [ph] and remain confident that achieving these goals will put EXL in a strong position to continue on our growth trajectory over the long-term. With that, I will now turn over the call to Vishal.
Vishal Chhibbar: Thank you, Rohit, and thanks, everyone, for joining us this morning. I would like to start off by providing insight into our financial performance for the second quarter and the first half of 2017, followed by updated guidance. Revenues for the quarter were $189.1 million up 10.9% year-over-year both on reported and constant currency basis. Sequentially we grew 3.3% or 2.7% on a constant currency basis. For the quarter revenues from operations management as defined by five reportable segments excluding analytics grew 5.1% year-over-year or 4.9% on a constant currency basis. This growth was primarily driven by our clients from our insurance, finance and accounting, and healthcare reporting segments. Insurance grew 14.5% year-over-year on a constant currency basis. This growth was driven by expansion in existing clients, new client wins in 2016, and 1.7 million contribution from 2016 less acquisitions. Finance and accounting grew 8.7% year-over-year on a constant currency basis driven by expansion in existing clients and new client wins of 2016. Healthcare grew 8.6% year-over-year on a constant currency basis driven by expansion of existing clients and grew 2.6% or 1.9% on a constant currency basis. This growth was driven by expansion of existing clients in insurance which was up 3.5% and travel and transportation logistics business up 4.1%. Analytics continues its strong performance with revenues up 30.2% year-over-year or 30.7% on a constant currency basis. This growth was driven by banking and financial services, healthcare and a $6 million contribution from 2016 and acquisitions. Analytics now constitutes 27.3% of our total revenues. Sequentially analytics grew 5.2% or 4.8% on a constant currency basis. For the first half of 2017 EXL's revenues grew 10.2% year-over-year or to $372.1 million or 10.4% on a constant currency basis. This growth was driven by combination of new strategic client wins, expansion of existing client relationships across our verticals and inorganic growth. Operations management revenue grew 4.9% and analytics 28.6% year-over-year on a constant currency basis. We have won 24 new clients in the first half of the year, a clear testimony of the fact that our services and execution capabilities are resonating in the marketplace. Gross margin for the quarter declined 70 basis points year-over-year to 33.6% due to impact of acquisitions, 60 bps, FX headwind 30 bps and partially offset by improved productivity 20 bps. Sequentially gross margin declined 80 bps due to the annual wage increments impact in Q2 of 40 bps and FX headwind of 40 bps. SG&A expenses were flattish year-over-year at 20% of revenues. The operating leverage we generated was reinvested in expanding our capabilities in advanced automation, robotics, product development, talent development and geographic expansion with an impact of 50 bps and the acquisitions had an impact of 20 bps. Sequentially, SG&A expensed declined 50 bps due to the operating leverage. Our adjusted operating margin for the quarter was 13.1% a decline of 60 basis points year-over-year. This decline was primarily driven by the FX headwind of 40 basis points and the impact of acquisitions. Sequentially, adjusted operating margin declined 80 basis points driven by FX impact 40 basis points and the impact of annual wage inflation in Q2 of 40 basis points. The tax rate for the quarter were 3.9%. The reduction in the tax rate was driven by a one-time anticipated discrete benefit of $3.1 million resulting from the finalization of an uncertain tax position which had a positive impact of $0.09 on the adjusted value of the EPS. We also had a $1.6 million tax benefit due to adoption of new stock compensation accounting standard which did not impact our adjusted EPS calculation. Excluding the impact of discrete items mentioned above, our normalized tax rate for Q2 2017 was 26.4%. The tax rate for the first half of the year including the impact of the $3.1 million tax benefit, but excluding the impact of stock compensation benefit was 19.4%. We expect the tax rate for the second half of the year to be between 27% to 28% resulting in an annual tax rate of 23% to 24%. Adjusted diluted EPS for the second quarter was $0.70 up 27.3% year-over-year. Now talking about other financial metrics, our balance sheet remained strong with $237 million of cash in short-term investments. Our net cash position at the quarter end was $192 million after spending $20.4 million on CapEx and $20.3 million for share repurchases in the first half of the year. Cash flow from operations was $39.8 million for the second quarter and $46.9 million for the first half of the year. Now moving to our guidance, we have increased our revenue guidance for the year to be in the range of $748 million to $762 million compared to previous guidance of $740 million to $760 million owing to a strong first half result and a favorable currency impact. This revenue guidance represents a growth rate of 9% to 11% year-over-year on a constant currency basis. The main drivers of our revenue growth outlook are expansion of our 2016 wins, ramp ups in our existing client portfolios in insurance, healthcare, finance and accounting and continued momentum across our analytics value chain including recent acquisitions and strong pipeline. Below the operating line we expect foreign exchange gain for the year to be $10 million to $11 million. This is an increase of $ million from our initial guidance which completely offsets the impact of currency appreciation at the margin level. At the beginning of the year we had given a tax rate guidance of 25% to 26% including the impact of the one-time discrete tax reserve as outlined earlier in my comment. The actual tax reversal was higher than what we anticipated and hence the revised tax rate for the year stands at 23% to 24% as mentioned earlier. Based on these factors we have increased our adjusted diluted EPS guidance for the year to be in the range of $2.54 to $2.64 a growth of 9% to 13% year-over-year driven by higher revenues, better performance in the first half of the year, a lower tax rate partially offset by the increased investments in robotics, product development, talent development and geographic expansions. In conclusion we had a strong first half performance. We generated revenue growth of 10.4% year-over-year on a constant currency basis and achieved 17% EPS growth. We are confident that we can achieve our financial goals for the year. And now, Rohit and me would be happy to take your questions.
Operator: [Operator Instructions] And our first question comes from Bryan Bergin with Cowen & Co. Your line is now open.
Bryan Bergin: Hi guys, good morning. Can you give us an update on just the operations management of the consulting business recovery progress?
Rohit Kapoor: Yes sure, so we continue to make investments in our consulting business by adding on talent to our consulting business, making sure that we have the right services and offerings that will resonate in the marketplace and as you can see from our other segment we did have some traction take place in our consulting business in Q2. However, it's too early for us to really comment on the consulting business. We expect this to be a much more longer term recovery. This is a project based business. We have a good pipeline in our consulting business right now and we expect to be able to see much more measured metrics around the progression of this business in the second half of this year.
Bryan Bergin: Okay, did you say what operations management performance was ex-consulting?
Rohit Kapoor: We did not provide that, but on a quarter-on-quarter basis we did get a benefit from our consulting business, that grew quarter-on-quarter from Q2 over Q1.
Bryan Bergin: Okay and then just on gross margin, did that come in line with your expectations particularly around analytics and just to help us think, I would think better trajectory there?
Vishal Chhibbar: Hi, Bryan this is Vishal. Yes the analytics and overall company gross margins were in line with our expectations. As you know in Q2 typically our margins go down due the impact of our annual increments and excluding that and also the fact that the rupee strengthened which also negatively impacted our margins. On a constant currency basis our margins were in line of our expectations.
Bryan Bergin: Okay, thank you.
Operator: Our next question comes from Anil Doradla with William Blair. Your line is now open.
Anil Doradla: Hey guys, congrats from my side. So Rohit, you talked about a strong pipeline, you know can you provide a little bit more color around the strength, maybe a little bit in terms of the growth of the pipeline, the deal sizes, any incremental color that you can share?
Rohit Kapoor: Thanks Anil. Absolutely, so first of all, we had 16 new client wins that we had in the second quarter, 24 client wins in the first half of the year. This is one of the strongest client wins that we've had across the years. So just to give you a sense we've been winning a significantly large number of deals in the first half of this year. Despite winning a significantly larger number of deals, the pipeline remains strong and what that really means is that we are seeing more and more new prospects enter the pipeline and get into conversations and discussions with us. As I mentioned in my prepared remarks, we are seeing first time outsourcers enter the pipeline. We are also seeing customers and prospects enter the pipeline and engage with us across multiple service lines simultaneously and that is a huge advantage for us because our ability to sell analytics, platforms, F&A, consulting services, operations management services, new product capabilities that we’ve created and provide that to our clients in an integrated format and leverage the power of one EXL, that is resonating extremely strongly. And I think the last piece around the pipeline and the demand is, our ability to compete and differentiate ourselves against competition, that's something which we are sensing as well. And so to us this feels like a great demand environment. It feels like, that we've got strong metrics for success and a strong pipeline, so that we can see continued growth take place.
Anil Doradla: Great and as a follow up I mean we saw a number of people decline first time in a long time I think. So is this all automation robotics or is this a new trend, should we be looking at kind of a negative headcount over the next coming years or how should we be looking at that?
Rohit Kapoor: I'm sorry, you're talking about the decline of the headcount?
Anil Doradla: Yes, yes, yes.
Rohit Kapoor: Yes, so - look I don't think there is much to read in the headcount decline that's taken place, it’s a marginal decline I think of about a 100 FTEs or so. Our business continues to perform very nicely. We are focused in on a metric which is revenue per headcount and that is an extremely important element for us. As long as our top line is growing and our revenue per employee is growing. We are headed in the right direction. Significantly, as we go forward, our business is going to be a much more non-linear business in terms of growth of top line in correlation to growth of headcount. And so that's something which I think is a positive for us. So we feel very good about the way our top line is increasing. We've increased our revenue guidance for the year and we think we're in a great place to continue to keep on executing.
Anil Doradla: Great.
Vishal Chhibbar: Just to add Rohit on that, the fact that our transaction based pricing and the outcome based pricing portfolio is also now in the mid 30s is helping us to have that non-linear relationship.
Anil Doradla: Wonderful, and congrats once again guys.
Operator: And our next question comes from Ashwin Shirvaikar with Citi. Your line is now open.
Ashwin Shirvaikar: Thank you. Hi Rohit, hi Vishal. This is my first question is Rohit, you mentioned a couple of times already on the call a higher number of new outsourcing prospects, is there any difference in how these prospects proceed? It seemed like they potentially take on a wider portfolio of services, does that result in any decision making delays, any difference in ramps, contract size, terms, anything, any color there would be great?
Rohit Kapoor: Sure, so absolutely Ashwin, we are seeing these operation management prospects engage with us across multiple service lines and like I mentioned, they're also looking at transformation first and then migration. So the read on that really from our side is, we are seeing larger sized deals come into the pipeline; however, the decision making cycle is about the same as what it was previously. The difference really is that in terms of the ramp we're going to see the ramp first happen on transformation and on the change of that processes first and then we're going to see a migration off FTEs take place. So the ramp is going to be focused a lot more on the transformation element first and then the offshoring of work that will take place. So that’s the only real difference out there. I think in terms of revenue, in terms of margins the way we see these new clients engaged with us, there is going to be a fair amount of investment that needs to happen both at our end and at the clients end up front first and then we're going to get to steady-state margins as these clients transition their work offshore. Got it and Vishal, the raised revenue guide I think it's $5 million at the midpoint and you did give a reasonably long list of reasons for this, but to me it looks like $1 million to $2 million FX and the rest was 2Q upside, so would you call it a conservative guide or is there is some offset that I am not thinking of here?
Vishal Chhibbar: So Ashwin, we have a narrower range now. We've raised the bottom end by $8 million and the top end by $2 million, and then raising the midpoint by $5 million. As you know, part of our business is still which is project based and we have to win that in the rest of the year. So that's why we will be confident about the midpoint being raised by $5 million as where we stand today.
Ashwin Shirvaikar: Got it and if I can squeeze one more in, you had a question on reinvesting operating leverage of 50 basis points. Is that an impact that you're going to continue to see and at what point, and we get this question from investors a lot, at what point does automation actually start benefiting you guys as well as the client as opposed to just benefiting the client?
Rohit Kapoor: Yes, so Ashwin, I think some of that benefit will and is flowing into our margin numbers. It's just that there is a lot of noise in the margin because of the dramatic currency movement of the Indian rupee from the first quarter to the second quarter. So, if you look at our margin performance for the first half, our margin for the first half of 13.5%. The FX impact itself is about 40 bps, so our constant current adjusted operating margin is roughly about 13.9%.
Ashwin Shirvaikar: Yes.
Rohit Kapoor: For the second half we do expect that the adjusted operating margin will expand at the current exchange rate to 14.4% to 14.5% which means there's an expansion of 90 to 100 basis points at the current exchange rate in the second half and that will year-over-year will grow our adjusted operating margin by 40 bps, and that's what we had promised at the beginning of the year and we are on track to deliver that. And some of that is coming through our ability to generate the operating leverage across our business and then some of that is being reinvested and that's roughly about 50 basis points and the balance is flowing down to the bottom line.
Ashwin Shirvaikar: Understood, good job, thanks.
Operator: And our next question comes from Frank Atkins with SunTrust. Your line is now open.
Frank Atkins: Thanks for taking my questions and congrats on a great quarter. I wanted to ask first, can you talk about the areas within insurance that were strong? You saw some continued nice growth there. Any color you could give us in terms of which specific areas are showing strength or where do you guys think you're gaining market share and what clients are saying?
Rohit Kapoor: Thanks Frank. Yes, we're actually very pleased with the performance of our insurance business and now for several quarters our insurance business has been growing very nicely and that's reflected up in our quarterly numbers for insurance. The growth in insurance is actually quite broad based. We're seeing a fair amount of interest in the property and casualty space. We're also seeing traction in life and annuities and then we're also seeing traction take place in our platform businesses within insurance. So, it's pretty broad across each of the three segments in which we operate. We're also seeing the strength a lot more diversified from a geographic standpoint. So we're seeing traction take place in the U.S. we're seeing traction in U.K and we're also seeing traction in insurance in Australia which is another market that's coming up very nicely for us. So it's pretty broad based that the effort is there. I will say that, the work that is now being outsourced to us is a lot more complex. So we're going into more areas around claims and that is actually going closer to the core business of our clients and that is also much more value added, and that's where analytics can play a much, much more significant role and this combination of analytics and operations management in these areas plays up very nicely. We are also seeing areas where machine learning can be leveraged to provide incremental value to our clients in insurance and again our strength in analytics and machine learning helps us get into those areas. So we are very pleased with how the insurance industry vertical is performing and our positioning in that particular vertical.
Frank Atkins: Okay, great and as my thought I wanted to ask a little bit about RPA and automation. You described a lot of the efforts on your Investor Day going around that. I wanted to ask, how do you view the competitive environment and the competitive landscape in that area? There are several key players there and how do you view that vis-à-vis partnership decisions or organic build decisions?
Rohit Kapoor: Sure you're absolutely right Frank. Robotic process or automation and you know advanced automation is becoming increasingly important for our industry. Our approach on advanced automation and robotics is to adopt a dual track strategy. So number one, we are partnering with all the major players in robotics, so that we can be a key provider to integrate in some of the bots that have been created by third party providers. And as you know we've got partnerships in place with multiple robotic providers. The second track for us is to really create our own bots. And here we use our domain expertise to create very specific process and industry relevant bots that can be applied across multiple clients. And so for example in the insurance space we have specific bots around FNOL or First Notice of Loss, or around claims, or around underwriting. And this is something which our clients are seeing to be extremely valuable you know as such and the implementation of that is very quick and the direct tangible business outcome benefit is very significant. So we are adopting this dual track in terms of the approach for partnerships as well as proprietary bots that we are creating. The second part of it is, in terms of our competitive positioning we've now won several large contracts for robotics and advanced automation implementation, both on clients where we are doing the work for them as well as for clients where they have traditionally not outsourced this work to us but rather are looking for implementation partners on the body of work that is done by them in-house. And the competition for this is pretty strong. I think all the major players in the BPM space as well as in the IT services space compete for this. The reason why we win I think is much more about our knowledge of the industry, our ability to apply these bots specifically to client processes and the practical examples and case studies that we can demonstrate to our clients and the linkage that we can create between the back office, mid office and the front office that creates that differentiation. So we're very pleased with the progress that's taking place on robotics and on automation.
Frank Atkins: Okay great, thank you very much.
Operator: And our next question comes from Joseph Foresi with Cantor Fitzgerald. Your line is now open.
Joseph Foresi: Hi, so with deals now looking much different than they did through years ago, how do you view or define traditional BPO work and what's your thought on the penetration and growth rates in that, that type of work?
Rohit Kapoor: Yes, hi Joe. Look, I think our business has changed very significantly over the last three years. The traditional BPO work in our minds is kind of changing in terms of the percentage contribution quite significantly. Now what we're seeing is a lot more integrated outsourcing work take place. It is no longer about outsourcing of some tasks which are reparative or which are there in high volume just to take advantage of the labor cost differentials. Now it's all about enhancement of customer experience and it's all about helping our clients win and grow their business and at the same time reduce their costs. I think the penetration rate continues to remain low, we estimate that the penetration rate of operations management is still only about 20% to 25% with the more mature client relationships and we continue to see first time outsourcers come in, into the pipeline and that's very attractive for us. The second thing is that the addressable market opportunity for us has significantly expanded for two reasons. Number one, we're now helping our clients grow their revenues and focus on revenue growth and competitiveness there and so that's giving us a whole new playing field to participate in. And the second is, we are also seeing clients engage with us for doing work on shore and provide them with the transformational benefits on shore and therefore that’s expanded our playing field as well. So for those two reasons we remain excited about the fact that the penetration rate of outsourcing is low. Our addressable market opportunity is expanding and we are in a great place to be able to continue to participate in this long term trend.
Joseph Foresi: Got it. Okay and then just as your portfolio becomes bigger because you are in a lot of different verticals now, how do you manage that portfolio and how should we think about the acquisition strategy associated with it? And then just one numbers question, what's the overall organic growth rate in the quarter? Thanks.
Vishal Chhibbar: Joe, we couldn’t hear your last point.
Joseph Foresi: Yes, I just want to know the organic, I was wondering how we should think about your management of a much larger portfolio and different businesses at this point, how we should think about the acquisition strategy associated with it? And then the numbers question was what the overall organic growth rate was in the quarter? Thanks.
Rohit Kapoor: Sure. So from a portfolio management perspective, the way we think about the business is around industry verticals and around capability businesses. So we've got five industry verticals that we focus in on and we have business leaders who manage these five industry verticals. We've got three capability businesses that we manage that cut across these industry verticals and those are analytics, consulting and F&A. So those are the eight operating segments of the company that we have structured ourselves around. Clearly we've also got a geographic footprint, so we've got leadership in place for U.K. and Europe. We've got leadership in place for Australia and our customer markets are primarily the U.S., U.K., Europe and Australia and that's where we approach our clients. From an M&A perspective, we do have a very conscious strategy to continue to do acquisitions which will allow us to add capabilities to our organic capabilities and this will allow us to expand geographically as well as allow us to go deeper into the industry verticals. We've demonstrated that we are very prudent in terms of our M&A strategy. So we will do those acquisitions which are strategically important to us, which add capability and which can be done on attractive financial terms. And from an organic growth rate perspective, our organic constant currency growth rate expectation for 2017 is 6% to 8% and at the midpoint it would be 7%.
Joseph Foresi: Thank you.
Operator: Our next question comes from Puneet Jain with JPMorgan. Your line is now open. Q - Puneet Jain Yes hi, good quarter guys. So as clients prefer end-to-end services, how do you differentiate yourself from large IT services firms that are also increasingly trying to combine platform implementation hosting and BPO services?
Rohit Kapoor: Thanks Puneet. In our opinion when we say end-to-end processes and end-to-end businesses we're really talking about the business cycle and the process cycle. We're not talking about an integration of IT platform maintenance and running operations. So for us it's much more about, if a client is saying, hey I want you to engage with me right from customer acquisition to the payment of a claim in the insurance industry or in the trucking and transportation industry it will be from the acquisition of a customer to the delivery of a shipment or a good in the transportation industry and that's what we're talking about on an end-to-end basis. And our ability to provide operations management, embed analytics, use technology, enabled digital operations, these are all very strong levers that we've got into place and we do think that the synergy between IT management and maintenance and running business operations, that there is no real synergy out there and these are two very distinct capabilities and you need to be proficient in each one of them independently. So we're not really seeing too much of a threat or a competition from the IT services players.
Puneet Jain: Got it and, sorry go ahead.
Rohit Kapoor: No, go ahead.
Puneet Jain: So second, just to make sure I understand, so the guidance bakes in about $0.07 in incremental tax which is more than the magnitude of EPS increase and it looks like margins are expected to be the same and revenue guidance is higher. So what are headwinds that you are resuming in EPS guidance?
Vishal Chhibbar: So one of the things, Puneet this is Vishal, you have to keep in mind is that when we gave our annual guidance at the beginning of the year we had anticipated there is tax benefit and it is just that the number is higher than what we’d anticipated and that impacted roughly about $0.02. Number two, as I've said earlier, we are investing in capability development, in robotics, in automation and adding geographically and geographic expansion and that impact was 50 bps in the first half and will continue in the second half. So we do expect that the margins will improve and that’s what we had mentioned in our guidance to the 14.4% levels and on a constant currency basis that's where we'll get to.
Puneet Jain: Got it. Thank you.
Operator: Our next question comes from Vincent Colicchio with Barrington. Your line is now open.
Vincent Colicchio: Hi Rohit, I'm curious if you're seeing any impact from regulatory uncertainty really in any of your business, but especially healthcare and financial services?
Rohit Kapoor: Yes, thanks Vincent. For us the changes in the regulatory environment haven't really hurt us much, but at the same time they present a significant opportunity particularly for our consulting business. So we are seeing opportunities to help our clients for example to comply with the requirements of GDPR and that's been helpful for us. Specifically here in the U.S. with healthcare there hasn’t really been any change, but even if there was a change it really wouldn't impact our business as such because we are really helping our clients reduce their costs and be able to administer and manage their claims in a much more efficient manner. And all of the healthcare payers and provides are trying to reduce their costs and therefore we are very well aligned to their needs. In the financial services area any change to regulation again is likely to be net positive for us and therefore will be a benefit. So no real headwind or adverse impact conversely, there could be some opportunities that emerge from this.
Vincent Colicchio: Okay, Vishal, I missed what you said in terms of revenue contribution from Liss IQ and Datasource, can you please repeat that?
Vishal Chhibbar: Yes, the revenue contribution from Liss was $1.7 million and revenue contribution from IQR and Datasource in the analytics business about $6 million.
Vincent Colicchio: $6 million?
Vishal Chhibbar: $6, yes.
Vincent Colicchio: Thanks guys. Nice quarter.
Operator: And our next question comes from Craig Jones with Stifel. Your line is now open.
Craig Jones: Hi, I think I can back into now is looking for the organic constant currency growth rates for total revenue operations management and analytics if you have this? Thank you.
Rohit Kapoor: Okay.
Operator: And our next question is from Moshe Katri with Wedbush Securities. Your line is now open.
Moshe Katri: Hey, thanks. So there's a lot of focus on shared services and trying to kind of expand the, I guess the average ticket per customer, if you look at your existing customer base especially on the operations management side of the business, which part of that customer base is actually using your shared services at this point and obviously this could have been an opportunity down the road for you guys? Thanks.
Rohit Kapoor: So Moshe, I think we see a large number of our clients use our shared services capabilities. We're seeing them use it for industry specific services as well as for the shared services that they’re looking at. Predominantly we play in the F&A part of shared services, not so much around HR, so that's been a focus area for us. We find that in F&A the applicability of analytics and technology is particularly strong and there we are seeing a much greater adoption than an acceleration of revenue take place. If you take a look at our F&A business which we report out as a separate reportable segment, you'll see year-on-year for the last several quarters we are seeing an acceleration of growth take place in our F&A business. And then you're absolutely right, the average ticket size is going to increase out there and that trend is going to positively benefit us.
Moshe Katri: All right, so at this point it's predominately on the F&A side and could we see that expand into some of the other sections of your business?
Rohit Kapoor: Yes, I think one of the trends that we're seeing is that there is a much tighter integration of F&A and the industry specific services. So as an example, in the insurance industry, when we help our clients around our F&A we can also help them around some of their underwriting processes and allow them to optimize some of their underwriting standards with their clients, so that whatever we're seeing on receivable management or on claims payout, that's something which they can use in terms of their underwriting business models. And so that integration is becoming tighter and tighter and again playing to our advantage.
Moshe Katri: All right, and then final question, you talk about the consulting business that you are kind of working to kind of I don’t know if you are trying to reset it or restructure it and make it work better, what gives you that confidence you can get there just given the fact that this is not really a part of your heritage and obviously this is a very different business model than the traditional BPO or the operations management, even the analytics piece that you're focusing on? Thanks.
Rohit Kapoor: Sure, so the consulting business for us is a strategically important business, it's a business where we've adopted the strategy of using the tip of the spear. Many of the client conversations are taking place with us which require transformation upfront, require consulting services and we've invested quite significantly in our consulting business by adding on more talent into this business. But the reason why we are confident of being able to build this business and grow this business strategically is, there are a couple of areas of services that we've started to offer which seem to be resonating very strongly in the marketplace. The first is around robotics and automation innovation [ph]. We've already won several new clients around robotics implementation and the pipeline that we have in this space is very, very strong and large, and our ability to differentiate ourselves against competition because we use robotics and machine learning together in an integrated format, that is something which is highly differentiated. If you think about most of the client processes, there are very small areas where there is simple and repetitive work which is where robotics can be applied. But there is a large segment of work where you need to use machine learning to be able to introduce a higher level of automation in those processes and since we've got strong capabilities in both robotics and machine learning, we are seeing that that impact is being very, very significantly felt by our clients. The second area is around regulatory compliance and we've got a strong practice which helps clients with regulatory compliance, whether that be around SOCs ph or whether that be around some of the regulatory modelling and standards for capital adequacy or it be around GDPR and some of the new areas of regulation that are emerging. So again, the traction that we're seeing in this space is particularly encouraging and that's why we are confident about making sure that our consulting business will bounce back.
Moshe Katri: Understood, thanks.
Operator: [Operator Instructions] And our next question comes from Edward Caso with Wells Fargo. Your line is now open.
Edward Caso: Hi, good morning. I was curious about any changes in the productivity required in these off management contracts, as it - if you have to give back some percent each year as that percentage been increasing?
Rohit Kapoor: Hi Ed, yes absolutely the changes in productivity that we are now able to deliver to our clients has certainly increased from previous years and the reason it increases because the number of levers that we now have are much more significant and at the same time clients are engaging with us on end-to-end processes and end-to-end business, so it allows us a much bigger playing field to be able to deliver these productivity benefits. I think over the last couple of quarters there's no real change, but if you think about it over the last few years there has been a fairly significant change in terms of the amount of productivity benefits that we would offer to our clients.
Edward Caso: I guess my other question is around obviously you are deploying a lot in robotics and automation and so forth. How much does that flows through to the client and are you at the point where you can capture is your pricing mechanisms such that some of those investments you can capture in EXL’s margin? Thanks.
Rohit Kapoor: Sure. I think the way to think about robotics and automation is perhaps in three different buckets. Bucker number one is where we do the work for the clients and we charge them on a transaction based pricing model, there when we apply robotics and automation we are able to capture the vast majority of the benefit out there. The second is the work that we do for our clients where we charge them on a per FTE basis and there when we apply robotics and automation, the benefit is largely passed on to the client and we do have some gain sharing arrangements with our clients so that we can capture back a little piece of that. And the third part of the work, the third bucket is really work that our clients are doing in-house in a captive mode either on shore or offshore and they engage with us to apply robotics and automation. There it's largely a consulting kind of an engagement where they pay us for our services and we are able to make a margin of those services. So it really depends on which bucket the revenue is in and what that model is in terms of robotics and automation application.
Edward Caso: Thank you.
Operator: At this time, I’m showing no further questions. I would like to turn the call back over to Mr. Rohit Kapoor for closing remarks.
Rohit Kapoor: Thank you. Thank you all for joining our second quarter earnings call. We feel very pleased with the performance of the company in the first half of this year and we think we'd be able to continue to build and grow our business as well as expand margins on a constant currency basis in the second half of this year. We look forward to having you join us at the end of our third quarter and we'll see you then. Thank you very much.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program. You may now disconnect. Everyone have a great day.